Operator: Good day. And welcome to the Swiss Water Decaffeinated Coffee Inc. Conference Call. At this time, all participants are on a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Before  the Swiss Water Decaffeinated Coffee Inc. conference call starts, they are required to remind you that certain information in today's presentation is forward-looking in nature. Any such forward-looking information or statements are based on the assumptions that are considered reasonable at the time of the information was prepared. Such information involves known and unknown risks, uncertainties, and other factors outside our control, that could cause actual results to differ materially from those expressed in the forward-looking information. Swiss Water Decaffeinated Coffee Incorporated does not assume responsibility for the accuracy and completeness of the forward-looking information. Similarly, they do not undertake any obligation to publicly revise this forward-looking information to reflect subsequent events or circumstances, except as required by law. Please refer to Swiss Water Decaffeinated Coffee Inc.'s Management's Discussion and Analysis posted on SEDAR and Swiss Water's website for a full discussion regarding forward-looking statements and the risks therein.  I would now like to turn the floor over to your host, Frank Dennis. Please go ahead.
Frank Dennis: Good afternoon, everyone. And thanks for taking the time to join us. I'm Frank Dennis, President and CEO of Swiss Water Decaffeinated Coffee, Inc. With me is Iain Carswell, our CFO. Iain and I are here today to discuss Swiss Water's financial results for the 3 and 12 months ended December 31, 2023.  As usual, I'll begin with a brief review of our performance. Then Iain will provide more detail about our financial results before I return to tell you about our longer-term plans and expectations.  As outlined in yesterday's press release, in our MD&A and on our last few earnings calls, 2023 was a transitional and, in fact, a transformational year for Swiss Water. It brought about the culmination of a multi-year project to relocate, modernize, and expand the capacity of our production assets and returned all operations to a single site, our newly expanded state-of-the-art facility in Delta, BC.  As those of you who follow our story will recall, we decaffeinated the last bag of coffee at our legacy production facility in Burnaby, BC in April as we prepared to permanently shut down our two decaffeination lines there and vacate the site on the expiration of our lease in June.  As the Burnaby asset ceased production before our new second decaffeination line at our Delta facility was fully operational, we began bridging a short period of capacity constraint during the second and third quarters. This transitional period, stretching from April through August, was expected and carefully planned for.  Several months beforehand, we began working proactively with all our customers and suppliers to ensure that they were aware of what to expect from Swiss Water. We also built up our inventory to enable us to meet customer demand. Throughout the year, our sales and logistics teams worked tirelessly to manage our capacity and the allocation of available production.  Anticipating the transitional constraints, our teams successfully front-end loaded significant customer demand into Q1 before our Burnaby shutdown, enabling balanced customer service through Q3 and facilitating an acceleration of sales during Q4.  Key milestone was achieved in August when production on our new Delta Line 2 began. Soon, it was producing decaffeinated coffee of Swiss Water branded quality.  Predictably, the second and third quarter capacity constraints had a negative impact on our volumes and financial performance. And in addition, a number of significant one-time costs related to the shuttering of our old Burnaby facility affected our 2023 financial results.  It's important to emphasize that this was a temporary disruption of the upward trend in the growth of our business and in the strong performance that Swiss Water demonstrated over several quarters leading up to our transition out of our legacy Burnaby facility.  By the fourth quarter, with the Burnaby exit and temporary capacity restraints behind us, the positive momentum was apparent. With all our production consolidated at one location in Delta, we began to regain our volume trajectory as we continued to ramp up production on our new second line.  The numbers tell the story. Fourth quarter volumes were up 17% from 2022 levels and we saw a strong growth from all customer categories. Our key profitability metrics were improving, our inventory levels were favorable, and the outlook for 2024 and beyond was positive.  Now, before I tell you more about what we see ahead for this year and beyond, let me turn the call over to Iain to take you through our financial results. Ian? 
Iain Carswell : Thank you, Frank. Good day, everyone. As always, I'll begin my review with volume shipped to customers as this is the key metric that drives our financial performance.  As expected, with the temporary capacity constraints resulting from the shutdown of the two lines at our legacy Burnaby facility behind us, Swiss Water's processing volumes recovered nicely during the fourth quarter.  Taken together, volume shipped to customers in all categories were up by 17% in the quarter when compared to Q4 of 2022. However, the capacity constraints we experienced during the second and third quarter transition resulted in a 7% decline in volumes for the full 2023 fiscal year.  Looking at volumes by customer types, shipments to roasters, those customers who roast and package coffee to sell to consumers in their own coffee shops or for home or office consumption were up by 16% in the fourth quarter and by 2% for the year. While shipments to importers, those customers who resell our coffees to roasters, where and when they need it, were up by 20% in the quarter, but down by 17% for the 12 months.  Looking at the roaster segment another way, specialty roaster account volumes were up by 8% in the quarter and down by 15% for the year. These accounts serve the out-of-home consumer primarily in cafes and restaurants in our key geographic markets.  Shipments to large commercial roasters recovered strongly in Q4, rising by 26% compared to the fourth quarter of 2022. However, for the full year, shipments to these customers were essentially flat, declining by 1% from the 2022 level.  Turning now to revenues, fourth quarter revenue of CAD 41.2 million was down by CAD 2.8 million from Q4 of last year, while annual revenue of CAD 166.3 million was down by CAD 10.7 million from the 2022 level.  As with volumes, the drop in annual revenue was an expected result of the temporary reduction in capacity we experienced during the second and third quarters as we transitioned production out of Burnaby.  Higher-than-normal volume shipped in the first and fourth quarters helped mitigate the impact of this temporary capacity constraint. A decline in the NYC and in coffee differential margins also contributed to the year-over-year decrease in both periods as recovery of the cost of the green coffee we resell to customers comprises a significant portion of our revenue.  Looking at the cost side, our fourth quarter cost of sales was CAD 34.3 million, down by CAD 3.9 million or 10% compared to Q4 of 2022. For the year, cost of sales was CAD 147.5 million, a decrease of CAD 3.4 million or 2% from 2022. The decrease in Q4 was primarily driven by a lower green coffee price and lower coffee differential, while the capacity constraint and resulting reduction in volumes during the transition from Burnaby had a more considerable impact on the annual number.  Full year cost of sales was also partially offset by a one-time incremental depreciation expense of CAD 2.5 million booked during the first half of the year. This resulted from the write-down of production assets at our old Burnaby facility. A reduction in freight activity also had an impact.  As to green coffee costs, the NYC was down slightly from US$1.77 per pound in Q4 2022 to US$1.74 in the fourth quarter of 2023. However, for the full year, the NYC was down by US$0.42 or 20% averaging US$1.72 per pound compared to an average of US$2.14 US per pound in 2022.  Foreign exchange rates can also have a material impact on our profitability and cash from operations. This is because the majority of our revenues are generated in US dollars, while a significant portion of our costs are incurred in paid Canadian funds.  Our exposure to changes in the exchange rate is managed in part through derivative financial instruments. However, all other factors being equal, we benefit when the US dollar appreciates as it did during 2023. At an average of CAD 1.36 in Q4, the US dollar was unchanged from the same period in 2022. However, at an average of CAD 1.35 for the full year, the US dollar was up by CAD 0.05 from CAD 1.30 in 2022. This appreciation had a positive impact on our annual revenues when they were converted to Canadian funds.  Fourth quarter gross profit was CAD 6.9 million, an increase of CAD 1.2 million when compared to Q4 of 2022. For the full year, gross profit was CAD 18.8 million, down by CAD 7.3 million from the 2022 result. The fourth quarter increase in gross profit was primarily due to higher volumes and efficiencies of scale leveraged from within our production process.  During Q4, the consolidation of all production into a single facility also began to generate savings from reduced building maintenance, utilities consumption, staffing and transportation between locations. These savings will become more evident in future quarters now that we are operating from a single location.  As anticipated, the drop in annual gross profit was largely due to the temporary production constraint during our transition out of Barnaby, as well as materially lower green coffee differential margins and a one-time non-cash depreciation expense of CAD 2.5 million. In addition, we had to contend with inflationary pressures on our variable production costs, including natural gas, carbon and labor, as well as on freight and storage costs.  Looking at the expense side, our fourth quarter operating expenses were CAD 3.5 million, up by CAD 600,000 when compared to Q4 of 2022. For the full year, operating expenses were CAD 13.2 million, up by CAD 500,000 from the 2022 level. The administrative portion of operating expenses was up by 32% in Q4 and by 2% for the year, largely due to general inflationary pressure and slightly increased headcount and salaries. As with the quarterly improvement in gross profit, these increases were partially offset by efficiencies resulting from consolidation of all our operations in Delta. The sales and marketing component of operating expenses was unchanged in the quarter and up by CAD 300,000 or 8% for the year. As expected, our sales and marketing costs continued to gradually increase due to a return to normal travel and trade show activity within the coffee industry.  Q4 operating income of CAD 3.4 million was up by CAD 580,000 from the fourth quarter of 2022. Full year operating income was CAD 5.6 million, a decrease of CAD 7.8 million from 2022's result. Again, the big drivers of the drop in annual operating income were the reduction in production capacity during the transition out of Burnaby, materially lower green coffee differential margins, the increase in depreciation expense, and to a lesser extent the inflationary pressure on our variable production and freight costs.  Turning now to net income. We reported net income of CAD 1 million for the quarter compared to a loss of CAD 254,000 in Q4 last year. For the year, we recorded a net loss of CAD 500,000, down by CAD 2.9 million from net income of CAD 2.4 million in 2022.  As with gross profit and operating income, the drop in annual net income was largely a result of the same factors as well as material increase in finance expense associated with increased borrowings and higher interest rates under our debt facilities. These negative factors were partially offset by improvements in risk management activities, a revaluation of Swiss Water's embedded option within our debentures with warrants, higher finance income, reduced loss on foreign exchange, and lower income tax expense.  Fourth quarter net finance costs of CAD 1.8 million were up by CAD 400,000 or 31% over Q4 of 2022. For the year, finance expenses were CAD 6.6 million, up by CAD 1.6 million from the 2022 level. The increase was primarily due to a higher outstanding balance on our construction loans and credit facility as well as higher variable interest rates.  Fourth quarter adjusted EBITDA of CAD 5 million was up by CAD 1.9 million from Q4 of 2022. And for the year, we recorded adjusted EBITDA of CAD 13.4 million, down by CAD 3.3 million from the 2022 result. The quarterly increase reflects the return to normal and, in fact, higher production volumes as well as efficiencies of scale. The decrease in annual EBITDA was mainly driven by our lower volumes due to the transitional capacity constraints and the reduced green coffee differential margin.  As Frank noted earlier, we built up inventory levels during the first quarter to ensure that we had sufficient coffee on hand to meet customer demand during the transition from Burnaby when our production capacity was temporarily constrained. However, during the second half of the year, the commissioning of our second production line in Delta led to an acceleration in raw material usage and increased shipments of finished goods.  As a result, inventories closed 2023 at their lowest level since Q1 of 2021. This generated the material release of working capital back into the business. By the end of the fourth quarter, the value of inventory on hand had dropped to CAD 30.3 million from CAD 60.2 million at December 31, 2022. This provided an opportunity for us to pay down some CAD 17 million of our debt while leaving adequate inventory on hand to support operations and near-term growth.  With the construction of our new production assets now complete and fully paid for, debt reduction is a priority and focus for Swiss Water going forward. Under the terms of our agreement with Mill Road Capital, we are scheduled to fully repay the CAD 15 million debenture with warrants held by Mill Road in October of this year.  Having finished the 2023 fiscal year in a strong liquidity position with over CAD 11 million cash on hand, we expect to be able to fund this obligation with a combination of available cash reserves and proceeds from future operations.  With that, I thank you for your attention and I'll now turn things back to Frank. 
Frank Dennis : Thank you very much, Iain. As we look ahead into the future, we are very optimistic. Swiss Water's production activities are now fully consolidated into one site and the transition away from production assets in Burnaby is complete.  We have now begun to reduce our debt levels and are once again sharply focused on growing the business. We are moving forward with a diversified global customer base, new state-of-the-art production facilities, quality products, growing demand, a strong brand, and a proven team.  Looking ahead, the two lines in Delta now provide us with a very good capacity capability over the next several years with limited additional investment required. Optimization is a core skill set at Swiss Water. And through ongoing optimizations, we will service the growing demand for chemical-free decaffeination as coffee roaster and consumer demand shift toward transparency in food manufacturing.  In general, trading conditions remain favorable in our key markets and we see growing demand as increasingly industry participants move away from chemical decaffeination in favor of chemical-free processes like ours.  That said, caution continues to be called for. Like businesses everywhere, Swiss Water is not immune to current and emerging macroeconomic risks. Inflation has not fully abated and economies around the world are struggling to get a grip on it by raising or at least maintaining high interest rates.  The ongoing war in Ukraine and the crisis in the Middle East have disrupted the global order and continue to create a lot of uncertainty in Europe and around the world. Here at Swiss Water, while the supply chain disruptions of the last few years have eased, we continue to experience some delays in coffee deliveries from certain origins.  Last summer's labor dispute and temporary shutdown of the port of Vancouver was another illustration of the brittleness of the international supply chain, while the current sustained low water levels in the Panama Canal are amongst this year's drivers of coffee delivery delays.  And as we've noted, Swiss Water is experiencing inflationary pressure on virtually all of our input costs. These risks and increasing costs demand our close attention and may require further mitigation measures.  Whatever the challenges the future brings, Swiss Water is now much better positioned for 2024 and for the years ahead.  That wraps up our comments for today. Iain and I would now be happy to answer any questions that you might have. Kelly? 
Operator: [Operator Instructions]. We do have one question from Michelle.
Unidentified Participant: Hi. I'm just an individual investor. First of all, congratulations on all the progress you've made. And secondly, I guess I would like to say that, of course, I know that you have in October the massive debt repayment. But then coming down in the future, a few years from now, do you predict that the dividend will come back?
Iain Carswell: It's not the first time I've had this question. Yeah, we appreciate that we've not paid a dividend for the last number of years. It's something that our board and management constantly review. And so, we will continue to review that. And as and when we feel time is appropriate, we'll make that decision. 
Unidentified Participant: I have one more question. And it's regarding the visibility of Swiss Water process as a company and a brand, I suppose. I was at my friend's house a while ago and they had some coffee from Costco and it was decaffeinated. And it said Swiss Water Decaffeinated on it, but it didn't have your logo. And it didn't seem to be branded as such as coming from your company. And so, I guess I was wondering, are there other companies that are your competition? Or is it just do you do their business? Or I guess I'm just wondering, why wasn't your brand on there? 
Frank Dennis: Thanks for noticing the product at Costco. Assuming you're in Canada, yes, we do do that product. And basically, every brand owner, so in other words, Costco Kirkland, I guess, would be the brand name, has a choice as to whether or not they tell the consumer that they're using our product or not. And if they tell the consumer, they also have the choice to use the word mark, which would be Swiss Water or the trademark.  And some use just the word mark. And in Canada, in fact, that's the case. However, happy to say that the Kirkland product, Costco product in the west coast of the USA, in fact, does use our trademark, our logo on the front of their package.  So that's something that our marketing team constantly works towards, is enabling the visibility of our trademark, word mark – preferably the trademark, of course. And that would be an opportunity for us to have the conversation with Costco Canada and those who supply Costco Canada because there would be different roasters who supply the western US, the eastern US and Canada. So it comes down to the roaster having the right packaging in place to be able to get that done.  At least, the good news is, is that the US is branding the way we would love to see it. And that's something that we can try to enable in Canada. So the good news is that we are building our business with the Kirkland brand and that they see the value of telling the consumer that they're using a chemical free product, which is great. So there you go. 
Unidentified Participant: Okay, that's good. Yeah, the one I saw actually came from a Vancouver Island Costco. And so, like I always tell everybody, the people doing the water processor right in Vancouver, but then they looked at the package and they don't see anything about that. So I was just wondering. I'm glad to hear that it is you guys.  And I guess the other question is, when I was in Australia and I was talking to my friends there and they're all coffee fanatics, and they knew Swiss Water process, but I didn't know if you guys do work in Australia or is it a different company down there that is using that process or how does that work? 
Frank Dennis: That's another great question. So we do business in about plus 60 countries around the world. So when you see the Swiss Water brand or someone talks about Swiss Water, it's us. It's coming from Vancouver.  Yeah, we've, we've had a very, very long relationship with an importer called H.A. Bennett in Melbourne for the last 20 years or so. It's an exclusive relationship, which we really enjoy. And they have developed the Australian market wonderfully for us in most of the major centers and probably some of the small centers as well. And so, that would be us selling through H.A. Bennett, the importer, and they on sell to roasters throughout Australia, which is terrific. 
Operator: Your next question is coming from Richard Rudgely with Glenbrook Capital. 
Richard Rudgely: Congratulations on finalizing the move over, and I'm sure that's a great relief. My first question would be, do you now plan to sort of do more marketing with the brand? I know you've just talked about this a little and also with investor relations because I think now that the move's out of the way, I think it would be wonderful if the stock price could be – showed the full value of the company, which obviously it's not. So, I wondered if you'd comment on that initially.
Frank Dennis: The answer is yes, we continue to build brand development along with our growth. Basically, we try to make sure that our investment in brand essentially has an ongoing kind of percentage of total revenues or however we do that, but it maintains a growing path forward. We do a lot of work in the US, so you might not see that. That's generally where we focus because the US has such an influence on other jurisdictions.  And the work that we've been doing is and continues to be helping develop our business. It helps, for example, our business at Peet's. The last question that we had, our development at Costco, Kirkland brand, and many others. So it's very, very critical to us.  In terms of investor relations, yes. We're now thankfully finally in a position to redevelop what our storyline going forward is, which is essentially the availability of additional capacity to grow. And we see a lot of interest from the consumer point of view in understanding where their coffee comes from. And again, back to the question from just the previous caller, individual investor following what's happening in the decaffeinated coffee landscape. And we see that increasing significantly, which is part of a very good story for us to rebuild our investor relations storyline, now that we have a clear path forward towards growth. And we aren't simply funding the replacement even though they are larger, but still funding the replacement of current assets. 
Richard Rudgely: Yeah, that kind of leads me into my second question, because in regard to the unused capacity on the combined lines, I know you said that's enough for your immediate growth projections, but what sort of percentage of capacity is unused at Delta as a whole? 
Frank Dennis: The way that we look at it, Richard, is that we try to run at a very high level of utilization and continue to optimize, which is exactly what we did at Burnaby. We were always running in the kind of the low 90%, but then constantly finding ways to essentially add incremental capacity through minor incremental changes that enabled us to grow on the same assets in Burnaby for at least 10 years.  Now, do we have that same path forward on Delta? Maybe not that number of years, but we have several years of capacity. I know from how we optimize and how we develop capacity, we will make some small incremental investments in some of the assets here to enable that growth, but we always try to work in that kind of high 80s, 90% utilization level, so that we are driving economies of scale, being very, very profitable while continuously, through our engineering and operations team, building incremental capacity year-over-year.  And so, it's a weird one to answer because essentially the capacity that we have five years from now will be significantly larger. I don't know exactly what that number is going to be, but I know that optimization work that we continue to do yields ongoing incremental capacity as we've proven through the past many, many years at Burnaby. So we're very excited about what that growth can bring to us, and we're constantly looking for new opportunities, whether it's in the premium specialty and other marketplace, which is higher margin, or maybe some of the more commercial products which help drive our branding, help drive our operational efficiencies. 
Richard Rudgely: So, it's obviously got to be good for your margins going forward. I just had one more question. I just wondered if you could clarify what you mean or how it works out when you say that the total – I'm just talking fourth quarter 2023 versus 2022. You say the sales volume increased 17%, but the revenue year-over-year for the quarter was down CAD 2.8 million. So I wonder if you could just explain that a bit more granularity, please. 
Iain Carswell: So much of our revenue is weighted towards the underlying commodity price and as part of that differential component of the commodity price. And there was a negative movement year-on-year within the commodity price. So that's why there's a disconnect between the volume and the revenue growth. But in a sense, the coffee cost component also flows into cost of sales. So if there's a negative movement on the revenue line in relation to coffee cost, there'll also be a negative movement in the cost of sales. 
Frank Dennis: We tend to focus on gross profit basically from an external reporting point of view. And you see that that increased significantly versus a year ago. So revenue, it's interesting. But because the New York C futures market is down and also coffee differentials, in fact, almost – did collapse last year, you'll see a different revenue number. But that really doesn't fuss us very much at all. We focus on gross profit because, in that, lies where our processing rates exist. And we focus on processing rates versus the cost of coffee coming through, if that helps, Richard. 
Richard Rudgely: So congratulations. Thanks. 
Operator: There are no additional questions in queue at this time. I would now like to turn the floor back over to Frank Dennis for any closing remarks. 
Frank Dennis: Thank you, Kelly. If there are no further questions, I will conclude today's call. Iain and I wish you all good health and thank you for joining us. 
Iain Carswell: Thank you. 
Operator: Thank you, everyone. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.